Operator: Good day, ladies and gentlemen. Welcome to the Comstock Mining’s First Quarter 2016 Results and Business Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Corrado De Gasperis. Please go ahead.
Corrado De Gasperis: Thanks Nick, and good morning everyone. Its Corrado here with Comstock Mining and welcome to our 2016 first quarter conference call. Last night we filed our 10-Q and I'll provide a brief summary of the implementation included both in our 10-Q and our press release from this morning. If you don’t have a copy of today's release you will find a copy on our website at www. comstockmining.com under news/press-releases. Please also let me remind you that in addition to the outlook I may make forward-looking statements in this call and these statements are related to the matters that are not historical facts may constitute forward-looking statements. The statements are based on current expectations and our subject to same risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are detailed in the reports filed by the company and the SEC and in this morning’s release, and all forward-looking statements made during this call are subject to those same and other risks that we can identify. Also as we have done successfully on the past few calls, we will limit the overall calls to an hour. We find this being the most constructive, but as always we’re available for any and all follow up. I want to start off a little differently this morning because I know you created a lot of confusions, some aggregations and even disappointment, resulting in I’ll say certainly some loss in credibility for us with some of our investors because of the recent capital raise. I heard from many of you directly and I truly appreciate the frank and constructive feedback because I was part of that problem I want to address the situation head on. First, let me address what happened and taking a step back to do that. In last year we managed to achieve six major objective to a very specific end. First we completed mining [indiscernible] operation. Secondly, we began and completed the road realignment which was not planned going into 2015 and required us to fully draw on our revolver and bond it. Third, we commenced the tunnel development going through the Lucerne underground. Fourth, we completed significant surface drilling through the Dayton line and developed an initial mine plan, internally. Fifth, we completed restructuring and simplifying our balance sheet and cost structure, this eliminated the preferred stock and most call future royalty obligations on Lucerne, recalling that we had previously done that as well on Dayton significantly reducing our land obligations and our land maintenance cost and further we also reducing operating expenses and eliminating preferred dividend. Sixth and last, we expanded substantially, all of our permits and completed our rezoning for most all I think actually all of our properties for mining. So the question is to what end? Well, we certainly feel that we proved we could mine ore in our system even at a very low rate with extremely lower cost and we had started off in, a very low cost overall. Supported strongly by achieving some of remarkable metallurgical recoveries of now almost 88% gold and 60% silver and we pushed very hard to the next stage of development. However when it became clear in January when we left both on the call that the initial phases of the PQ although remarkable in so many ways especially the grade, wouldn’t bridge us to a standalone mine plan, rather than stepping back, assessing and recalibrating that we attacked the development faster towards the thicker vein structure and I authorized an additional 450 feet of tunnel development, that our goal is positioned us extremely well for our next drilling phase. Frankly, it did to some degree overextend the enterprise and put us at a position where we had to raise that capital inopportunely. With hind side it was a mistake and I am personally sorry about it, especially that I put the company in a position where I felt we have to raise that equity capital the way that we did. Frankly, I pushed our teams, our suppliers and the overall enterprise extremely hard on the completion of road realignment which we are very proud of and the first phase of the underground development and drilling and the underground tunnel of infrastructure that’s now in place at the Lucerne, again that we are very proud of, it's just that I extended us to a point where some of our obligations were at risk and spoke about that openly and sub-sequentially to many of you that I either had to restructure and/or pay and that’s the resulting use of that equity, we paid off entirely our revolver and we positioned ourselves now to move forward. This was I think to most people particularly disappointing as the market sentiments for gold and silver was clear turning and our management of and in the capital markets frankly from my own self-assessment was below expectations and the timing was just bad. Our Board was disappointed, many of our shareholder were disappointed and I was certainly disappointed, but again I really appreciate the strength of this capital base and the strength of this company and I especially appreciate the frankness of the direct dialogue with most of you. It’s rewarding in that regard that people care, people appreciate what we are doing, and how we are doing it and just want it to be successful and it will be. Looking forward we’ve consolidated a tremendous asset with both mineralized and non-mineralized value and my primary responsibility now as it always was before is to protect and grow this assets value, protect it and grow it. Now let’s discuss where we are and where we’re going. We’re certainly not finished with the protection part, so we have announced as part of this release that we’re going to sell two non-core, non-mining pieces of land that was reserved for us, and at least $5 million in that proceeds, this is actually an exciting development, because it was happening with the land values here. The land values are just in declining, it seems in the field like, on a weekly and monthly basis. We just got input that [indiscernible] was accelerating the hireling of about 2,000 people, so it was continuing to see the economic in flow, into Northern Nevada and it’s having a very positive effect. Most of you know now, but we own a ranch that has been - is now independently valued at -- in excess of $4 million and that we currently owe about a million dollars on, which we netted potentially up to about $3 million. We also have option on land that’s not contiguous or even in the comp stock that’s in the money by the same amount about net $3 million of value. This proceeds are profits on sales that we’ll also be sheltered from taxes, because we have almost $150 million in net operating loss, carry forwards, the first in which may be surprising to you guys, but don’t even begin to expire until 2023. In fact our net operating loss carry forward still [indiscernible] running till 2023 and run all the way till 2035, which for us is a truly remarkable and hidden asset. In our release today we committed to paying down and/or eliminating current obligations with a mandate to be obligation free by end year, that mean no debt, that means no equipment financing and little to no land obligation. We’re not interested in having a strong balance sheet, we’re interested in a having a bullet proof balance sheet, because the asset value is just potentially to enormous, to put at risk and new land sales will certainly facilitate this. We never really had enterprise risk debt per say, we’ve always paid particular attention when we looked, we’ve never been permitted to incur a significant and meaningful amount of liability certainly not debt of which, but when we’re not stacking new [indiscernible] and producing new cash flow, any of these amounts can put you at risk. We focused on it and we have the means to and we will continue to fix it and stabilize it and make it robust. It’s a critical step for me, in restoring our credibility in the capital markets and just as importantly the gold and silver segment has turned very positively, we feel like it’s just a very front end of this turn, and we as shareholders don’t announce it buy frankly, given if it were not producing, should be tripling, quadrupling, and quintupling in value, with a rising price environment which we’re currently in. The fact that our land and claims are clear of almost all royalties, zone properly permitted and infrastructure production ready, makes them that much more value for. Our Board is focused on that reality and we’ll ensure that our exportation, development and ultimately production schemes are managed productively and safely. With certain the in remains our highest priority targets, because of the near term potentially for production , but we need to acknowledge, as you see the least graphic today, that our district is so much bigger than just those two targets. We not only have a six mile strength line, which I think most people appreciate, including off-course the essential list and core on Dayton, but also the straight south of Dayton if you will into and including all the spring valley, all the way down to highway 50, where we the dean plains. We also have more than a dozen northern in target that, have hardly of even spoken of from debentures claims, just north of those aspirant to the yellow jacket and common period right up in the Virginia city plus and almost unmentioned massive parallel straight lines with our optional on low claims, were we have over 7,400 fees of strike, almost another mile and half to that core takes about strikes, but parallel to the historic comps that loud, the point here is that, we’ve a whole district that dwarfs many of the junior miners in this gold and silver segment and we’ve been so focused on our production schemes, our cost reductions, our metallurgical yields and our permits, which is all critical that we somehow reduced the broad distinct and in the district potential. So we’ve included that map that we’ve included, just some inklings of all those primary and secondary targets, the secondary targets are not secondary, because the less exciting, it’s just the nature of their maturity and their development cycle is such that we prioritize them second rather than first, that it hard for us to, highlight a target that isn’t exciting on the strike of parallel for the strike. We’re going to talk, quite a bit about that next week at the annual meeting, peeling the onion back with our technical opinion sort of we been doing a tremendous amount of work not just within the certainly Dayton, but beyond. With the American mining internal agreement, we’ll prioritize the [indiscernible] and the Dayton for our next stages of drilling as we’ve discussed, no changes in our minds to those plans, but we’ll do it methodically and safely ensuring a strong reliable balance sheet that supports this investment, we’ve not demised at all our excitementover these claims and this will occur in third and fourth quarter of this year. The drilling will determine the mine development schedules and we really can’t predetermine the times frame, I know that statements may be disappointing, but it’s the reality of of our process and frankly there isn't anything different in terms of the sequence of what we're planning to do. Right, we want to drill out this Succor that's going to tell us what the scope of this potential is if it’s what we expect it to be will infield driller it that will add to the PQ and we'll drill those mine plants, we want to core drill the Dayton and because we only need some parameter core drilling to really moving to the next initial phase of drilling. As far as we're concerned the day and uncertainty is just exactly how when and at what approach will be taking forward to drilling will define all of that for us. We have very good information in all these areas, tremendous information actually, but we have to drill into the resource for sufficiency to develop the higher grade reserve and it also requires discovery of sufficiency continuous work, so we can develop mine plans and we just don’t have that yet for Lucerne. As we've talked about in January for the future production. Now I’m being a little more conservative because of how aggressive we were in the first quarter and what resulted from it, but I am not any less excited, with land fields in the American mining and tenant agreement, we were proceed very productively. We have two ultimate drivers from our mineral exploitation activity increasing resources which well by itself adds value and developing reserves to mine. This of course adds value and ultimately cash flow. Would we spend $6, $7, $10 an ounce to add resources in the ground, absolutely we would, we have and we will again. So let me just summarize where we, our cost reductions are well ahead of schedule. This has been facilitated by a lot of planning and a lot of execution and a lot of engagement by the board. We're now track to a descent non-mining cost year-over-year by $5.5 that competed the original target of 3 million which some people find surprisingly high. We didn't because it's been done as I said, with extensive planning and transition and board involvement. This effort has been methodical and we're proud to now target what we expect will be the lowest SG&A of any public junior minor because we have most of our administrations streamlined, we have all of our processes in place. Our social license is in place. The organization is stable and believe it or not we’ll be operating with less than 15 people including the continued operation of the Merrill-Crowe which just keeps on pouring. The mix of those people will also change a bit as we continue consolidating certain activities but also adding some new competency like underground or geological competencies that are better suited for where we're going versus where we've been. You should certainly expect some additional organizational announcement that we either address some final consolidations and our team planned for redundancies or actually adding some new competencies. The strategic agreement with American Mining & Tunneling in America drilling actually allows us to further eliminate and reduce certain fixed cost that we can better leverage as we did through them the including things like underground engineering. It’s that agreement and their involvement with our operations that allowed us to exceed our cost reduction target and move faster because we can plan with a much broader set of resources. So I’ll be on site next week to participate both in some of our Board's discussions as well as some of our planning. As stated earlier maybe a few times, our quarter now at almost 88% yields on gold with 60% yields on sliver. This is really exceeded all of our expectation and yet the team continuously worked on improving that throughput. We now expect pours will continue through September and some people are predicting possibly longer. I want to be conservative with that because we have to economic but as long as we're pouring we're going to keep brining that revenue in keep bringing those ounces out. We actually also have some test material from the tunnel development that grade more than double while we restacking from the open pit and currently have situation right in front of crusher were probably going to stack that material in the next week or two and we're keeping a bit of our development cost, so that's a nice development that happened. Our drilling from the Lucerne PQ as I said earlier has some really excellent grades which we'll see in the press release is that we've progressed the work to the development of the grade shelve and frankly the average grades in the larger shelve of about 0.3 ounce per ton gold and even the higher grade shelves of 0.6 ounces per ton told were outstanding. We didn't have good continuity at the southern part of the PQ and we first started drilling, but as you can see in the picture the resource continuity thickens and improves as we continually progress northward and fully expect that to keep going. It is truly outstanding in terms of the grades that we have in the grades that we're quantifying. We just don't get have enough reserves for mining and I think that's the point I tried to make in January and I am reemphasizing now, but it will contribute -- it will contribute as part of the broader plan. Having said that we're actually -- because of our lower cost and lower infrastructure, we're actually looking at some interesting small mine plants from that material that will contribute, it's just certain that we're not going to move into any production scheme unless it’s robust and it's certain to profit on. Our timeline is to scope drill the Succor and core drill the Dayton in the next 5 to 6 months and provide the results that the come. This will allows us to start the initial permitting in Dayton and we'll just keep the mine on line and in line with that we understand from the BLM [ph] that write away from Lucerne and the Permian grand is expect this month. This cleared some critical prerequisites for us, and other permitting that we want to do. We'll equally continue to focus on streamlining the remaining cost, maintaining the lowest cost structure, selling that land, paying off the obligations, ensuring that we could meet all these goals. Before I turn to Q&A I just would like to speak a little bit about the market, we've been deliberating this extensively and I'll be presenting on both the gold industry and some of the deeper details of our broader district wide target next week at the Annual Meeting and I know a lot of you guys are planning to be there. At last year's Annual Meeting, I discussed at length the policy of the Fed expectation of raising rates, 5 plus tons during 2016 which most of [indiscernible] including the Fed themselves were predicting. The Fed in the world it seems definitely wanted to believe that the easy money policies over the last eight years were truly going to save and reestablish our economy. The strengthened dollar was a testament to that belief amongst all of them and the world and we wondered out loud how the U.S. economy could endure a perpetually strengthened dollar, higher interest rates and slowing global growth. The answer seems to be clarifying itself now. It can. And now the Central Banking policies are coming home to roost. They are in the very bad box and their commentary makes you wonder if they even understand it. Serious capital is now starting to flow into the previous metals sector as we come out of four almost -- feels like five years of a bear market and we're really starting to feel the positive implications of that directly. The business to the mine are up significantly, where this with investors, mine businesses with investors are up dramatically because if there interest in us. Our volumes and liquidity are also up, of course gold and silver is up this year meaningfully, the last gold that we price was 12.89 an ounce, the last silver that we priced was 17.85 an ounce, that's opposed to an average of $14.13 for silver in Q1. Silver is bullying, the Silver Institute's outlook for the first time in five years is exceptionally positive. We have great future leverage for silver. And when you look at the landscape there's a significant number of projects out there other than ours that do not have the grades or the potential that we're displaying. Even these projects will become extremely valuable. I just read an article where Rick Rule was pining on the optionality of certain lower grade deposits saying that deposits that are today valued in the tens of millions of dollars will be valued potentially in the billion at higher commodity and higher precious metal prices, be it gold, silver, copper or whatever. There is a strong precedent here that's real, not promotional and we see it repeating, exceeding its history mainly because of the complete absence of discipline in our government's fiscal policy and the outrageous support to this bad fiscal policy by Central Banking monitory policy, for us this system it seems like insanity. I certainly don't want to discuss politics, so I'll wrap it up here but I'm not sure how to judge the confidence that we should have in our government when you look at the Presidential candidates that are queuing up to be our next phase of leaders. Truly frightening for us and our children but the precious metal complex is really starting to reflect it. So, we're fundamentally geared to protect and grow and Nick let me just pause there and go to questions.
Operator: Thank you. [Operator Instructions] We will take our first question from the line of Heiko Ihle at HCW. Please go ahead.
Heiko Ihle: Can you walk me through the cost of drilling at Dayton that you expect to commence in the second half of the year please?
Corrado De Gasperis: There's some -- there's two programs that are very efficient, in Dayton's case, there's a number of core holes, it's actually less than 20 holes that give us the full parameter and the structural integrity of the potential mine, and with those parameters we believe that we would have [indiscernible] these information to start permitting responsibly. The cost is nominal in the sense that it's only about $450,000 to $500,000 of core drilling. Yet it is almost everything we need to know except for the final Intel which because of the parameters of the resource and reserves that we already know can come later. In the Succor which you didn’t ask about because of this underground tunneling and because of some of the proximities from the surface we're only looking at about an initial 300,000 to 350,000 scope drilling to tell us what the ultimate parameters of that structure would be, before we committed any meaningful dollars for the infield drilling. And most all of that were, if not all of it, likely all of it would come under the work with the American Mining and Drilling.
Heiko Ihle: Speaking then, since you started to talk about the underground mining, walk me through when do you think when underground mining will actually commence?
Corrado De Gasperis: Right, so, I think that some of our scoping, and we talked about this, suggests that Succor being a 1,200 foot known length and 500 feet to 600 feet known depth and also situated in the way that’s very conducive to scoping in and itself to contribute a mining plant. If that’s correct it could be as early as the end of this year. Having said that I want to be more cautious also in terms of my comments and of course in terms of our financial position because we are going to succeed regardless of one that mine plant comes online. The district is too big, the potential too large and I don’t want to repeat the mistake of over extending and/or over committing, having said that you are going to have immediate results from the drilling because we are going to do it in a scoping passion, or we could come back and say yes it's as big as we thought it was, yes the grades are as disperse as we thought they were and so it's not a question of having to wait until we end to know and so the boards view is we like these targets, we want to explore and develop these targets, but you are not going to bet the farm on one segment of one corridor in the entire district and that’s the lesson that I learned.
Heiko Ihle: Fair enough, so given all this what should we look out for 2016 production as a whole? Can you guide us towards the number?
Corrado De Gasperis: Yes, 2016 we are talking well, I am not going to guide to a new production, right but I am telling you we are looking at these answers to keep pouring where, I certainly would expect to be well over 3,250 ounces of gold 3,300 ounces of gold and almost 60,000 ounces of silver, the silver ratio is really pushing almost 20:1 and that’s not uncommon because the silver leak cycle is longer than the gold leak cycle. But right now we are planning to have that revenue go right into and maybe through the third quarter with none in the fourth quarter unless we have de-production. Now having said that I mentioned earlier that we have some tunnels from the tunnel development that grade almost double what the open pit was, there was certainly enough underground grades that we are targeting, but when you get 0.05-0.06, just from tunnel development you are in the funny place, a good funny place and then we will also looked at maybe putting some higher grade test lines on [indiscernible]. But none of that yet is finalized in terms of plan or even approved by the Board. If you haven’t sensed it the Board is always been very engaged but now we are working even more intimately in terms of each stage of production and again it’s not meant to be a negative, but a very strong positive because of the potential of this district.
Heiko Ihle: And finally, and I’ll stop hogging the queue I got a slightly touchy-feely question for you. Giving your average revenue portfolio of 1,185 an ounce in Q1 and the cycle were just on the 1,300 right now have there been any recent moves to exchange the mine plant or production portfolio of capital expenditures compared to what you would have expected to see if we were at 1,185?
Corrado De Gasperis: Yes, so that’s the first move is with the higher gold prices we have started re-evaluating these grades shells both of the Lucerne and Dayton because obviously the economic grow and we have actually because we are in four years of verified gold cycle we believe in $1100 numbers the profile you can think of it as sensitivity we run scenario at 1,500 and 1,800 now too. For the sake of not optimism, but for the sake of intelligence through planning, right. You don’t want to structure something or invest in something and then say crap if I had knows I would have done it differently, right, so we are being much more through of spectrum of gold and silver prices and it expands that I think that’s to the rule context that you got some deposit here that people are seeing, that they’re thinking of there is non-economic. You got $1.50, you got a project that looks like crap at $1.50 copper, but at $3 copper it looks completely different, so we are scoping with those plan whether is in mind. Very meaningful actually and so I don’t know if that answers your question but we are running broad scenarios and it's pretty exciting.
Operator: Our next question from line of Marco Rodriguez at Stonegate Capital Partners. Please go ahead.
Marco Rodriguez: I was wondering if you could talk a little bit about the balance sheet and your expectations as kind of fiscal '16 progreses. I thought I heard you said that you had sold some two pieces of land for is 5 million in proceeds and then also an expectation that all debt, all capital obligations or lease obligations are expected to be wiped out by the end of the fiscal year and just given were you current cash is and without the production just trying to understand, how you are going to get to that goal?
Corrado De Gasperis: Actually we’re thank for that, so first, we paid off the revolver in its entirety on April 1, we paid off the revolver plus some additional obligation, by 1.5 million on April 1, so that’s done, secondly we’ve some equipment financing the Caterpillar, that total a little over $3 million that were in direct initiations with than to settle, most of that equipment is still good mining equipment. We been very successful both in the fourth and the first quarter and selling the couple of million with that, in every case, over the obligation and over the book value and Cat [ph] has a very interest on managing that equipment into the market and they are working very constructively with us, I expect that, although there might be a small decision for you, that’s associated with the final settlement, it will have a payment plan and that won’t be material, so we’re happy about that. And then to our other points, our remained obligations results from additional equipment financing which is about 3 million and some land obligations, which is about 3 million and we did not yet sell the lands that was, that I was referring too, we expect that we would get a minimum of about 5 million in proceeds from that, it could be higher. So these are the lands that have absolutely no mining relevance they were bought, I would certainly say in one case opportunistically and in another case to do an auction, to secure some increasing value, which looks to be paying off now. So through those activities we will look to [indiscernible] this balance sheet, it’s really a mandate that I’ve got it from the Board that, this asset is too valuable to do, even though the equipment financing and some land obligations associated with specific land, plus it is don’t put the enterprise at risk. They have risk associated with them and so, and we want to bullet proof that and I think it’s intelligent to do that, I think we have the means to do that, the 800 pound gorilla in the room is are you going to use equity again and my attitude on that, and it’s demonstrated through the American mining and tunneling agreement. That if can grow our asset, if you can grow our resource, if we can do it, at cost of $6,$7,$8,$10 an ounce then we will. Okay, so we’re not talking material dollars here though, we’re taking about 5 million, 6 million to grow value exponentially we’ll do it, if we’re talking about 3 million, 4 million that protects value that will be exponential, we’ll do it. You know the companies that, that really got into trouble, over the last three years had hundreds and millions of obligations and hundreds and millions of capital commitments, we don’t have that, when you compares, when you consider that trust, in fact that was own permitted infrastructure we’re ready, I think our value, creating should be much-much higher, if not because of some of the mistakes, I’ve made, in terms of the aggressiveness, but that aggressiveness can pay off, because we’re in position to move forward.
Marco Rodriguez: And then to clarify here on the 5 million plus in land value, that you’re expecting to grab or get, you said that it has not been sold yet. is that correct?
Corrado De Gasperis: That’s correct. Timing of that to anticipate would be in second quarter and third quarter, fourth quarter. There is two pieces of land but there is really three assets, the land, lane and consistence water right, that are attachable from the land that are fair locating in value.
Marco Rodriguez: And then in our filing to the quick land side is, it looks like you did sell a couple of other properties for about 600,000 and proceed, can you provide some color on that?
Corrado De Gasperis: Actually we’re, I start to mention that, thank you for asking so. We had purchased the couple of the new equipments, on a bankruptcy about 5 years ago for pin out, I think we sold them, I think a 600, 000, while we had a gain of almost 400,000 in our on that sale and we used that to settle, from liability dues as well, so there is no, no discussion in our company of selling any land, that has mineral value, mineral continuity, profit in expansion etc. the nucleus of the land position is solid, some people wondered why, we were requiring land above and beyond our mining objectives, I think initially, it will go sincere efforts to show the community at that we carry that and we believe even there are valuable and nobody wonder. So now people want them and able to sell in there process so, I think it’s a profit so I think it's a positive story.
Marco Rodriguez: And then also on the total debt that you have outstanding just want to confirm here as well though on some of the notes payable that you have on some properties, are those expected to be paid off or those are going to remain?
Corrado De Gasperis: So most of them amortized and should be paid off I would say within the next 12 months, so that's our saying, I'd like to see some of the more meaningful one. But when I say meaningful individually the largest obligation we have any land is $1 million on the ranch which valued it over 4 million now. When you step down with the next plan, it's like 600,000, 400,000 no 350,000, so individually they're non-material and to the extent that we sell property and we can pay those off we will be extent that the amortized which we leased and that’s okay too. So that's the only balance I am thinking by the year end, those are safer obligations that could pursue beyond.
Marco Rodriguez: And then lastly, I am sorry --.
Corrado De Gasperis: There won't be very much left.
Marco Rodriguez: And then last quick question and I'll jump back in the queue, again just try to make sure I am understanding the flow of cash and your balance sheet limited roughly just shy of $11 million in debt and capital lease obligations you have on your balance sheet with the potential 5 million in proceeds maybe a refinancing or some sort of worked out with Caterpillar with 3 million and then the amount of money you're expecting to spend on your exploration activities, is there going to be a need for an additional capital raise come the tail end of the year or are you pretty confident that you're balance sheet will be sufficient to carry through the end of the year?
Corrado De Gasperis: I think that the timing of the land sales could dictate that. I think that if we played out timing scenario wouldn't favorable let's say some delay into the land sales and that's possible because first of all we're [Indiscernible] and these lands are valuable but the gap, the gap could be $3 million or $4 million, right. So we're not going to do anything like we did in March where we might be methodical. If we need to do something I am certainly not going to say, we're not going to do anything, we would prefer not to, but it would always be in the context of positioning the asset to be safer and create the value the way it should frankly the way the rest of the industry has been and we don’t see any reason why we won't participate in those improvements in reality.
Operator: Our next question comes from the line of John Lustrage [ph] a Private Investor. Please go ahead.
Unidentified Analyst: My question is who buys the gold and silver that you guys mine and is it a fixed cost on the contract or as gold prices go up and down, does that change with it?
Corrado De Gasperis: Our bullion, our gold rate and our pure fine gold and silver is of the highest purity well higher than the minimum standard of 3.9 required to get the maximum sport price on the market with average 999.5, 999.6 in some cases of our sliver we've gone to 4.9 which is really outranging. So that says we get our spot, we can sell at spot to any broker. We had viewed one broker because they have been exceptionally flexible and allowing to us price and deliver on that all which gives us some stability to the prices more actively and typically we have done slightly better than the margin in terms of our pricing. So we sell through a one broker. We price actively at spot. This week I priced couple of hundred ounces of gold at 12.89 and about 5000 ounces of silver the last 2000 it was at 17.95. So we hit from good peak sale in the spectrum, but we're 100% coping to the market right now. Historically when we were having a full production scheme what we like to do was the price forward about 6 to 8 weeks exactly what's good cash flow protectability yet left us majorly open to the market which you would do if you're bullish on the metal prices. So generally speaking right now we're open to the metal prices meaning we're experienced immediate benefit from rising prices, we'll be exposed to lowering prices. But we price at spot. We get whatever the spot price is at this moment, if I can call right now and I'll just ask that price and then typically I need, I have a lot of mine, I have 90 to 280 days to deliver the metal like that price.
Unidentified Analyst: Okay my question another one you as, have you reached out to any refineries in Switzerland, because I keep reading articles, that they cannot keep up with the demand coming out of China, and that they're always looking for in more physical in gold and silver, so, I'm wondering if you've reached out to any other refineries, are there anyone else besides the one company you're working with now?
Corrado De Gasperis: So, we use three in the United States, and I'm not familiar with refineries paying above spot, but I'm intrigued by your point, so, I will check. There implication is that they can't keep up with the demand, maybe they'll pay more, I'm not sure if that's true enough. The spot market usually is what dictates that demand drive but if someone is willing to pay more we'll try to find it.
Unidentified Analyst: There are two big game changers that I see, there's, number one is the Shanghai Gold Exchange that just opened, and they don't take paper gold, they want a physical gold and I guess they're already struggling to meet demand for the physical, they don't do paper like we do here. So, and number two is, the part reserved isn’t going to raise interest rates, which mean gold and silver I think throughout the year, it's going to keep climbing up and up and up which means that I think it puts you guys in a fantastic position. One last question before I let you go is, have you reached out to any like major hedge funds or any major investment groups that come to tour your mine and possibly invest?
Corrado De Gasperis: So, I'm going to make two comments, one, on the last question, we're getting tremendous visitation, we're getting funds from Switzerland, we're getting funds from the United States, we're getting funds as far as Alaska highly interested in the project, highly interested in Nevada. Nevada is growing in popularity rapidly. The Europeans are strongly coming back, into the market, the Swiss tend to be the first to exit in a downturn and the first to come back in an upturn, if you could think of that as smart money. But they're part of it. So, yes, the answer is we're getting a lot of interest not just from hedge fund but from value funds, from resource funds, and the resource funds have been battered, in the last four years and god bless them, the first four months of this year, they're starting to see some real recovery. And that, let's be practical, being up 20% in the first one month of the year, it sounds great, but not when it's compared to being down 80% the last four years, right, so they're still recovering from a low base, but it is absolutely happening. So, the interest level is high, we like that, inherently the interest level from other projects is growing. I think that we have some very strong credibility when it comes to permitting, when it comes to constructing, we build facilities, we build roads, these are the things that have to happen, the planned development activity in Nevada -- there are people see you've been successful at. So, there are opportunities growing in this environment, one is the, again one of the reasons why our Board that that'll say -- we like your [indiscernible] mentality, we like your aggressiveness, but you don't need to attack an army by yourself, right, let's be a little more methodical, because these things can increase value, some people have been more blunt with me saying, don’t be stupid this thing is going to be worst something no matter what, so, just be careful. So, the answer to that is yes. In terms of the monetary policy, I'm not going to go on extended dialogue because that'll happen next week at the Annual Meeting, but I think we're in a -- I'm very optimistic guy, I'm a very positive guy and I'm an achiever, I think we are in -- im a very optimistic guy. I’m a very positive guy, I’m [indiscernible] I think we’re in big trouble.
Unidentified Analyst: I agree.
Corrado De Gasperis: I think the failure of the tea party [ph] to not only institute fiscal discipline into our government but they were backlashed so brutally, it seemed like the discussion about deficits and fiscal policy just went away. And then all of a sudden, when you had a green span on your [indiscernible] cash dies in Congress saying things like, hey you guys get no matter how careful we are with monetary policy, if you screw up fiscal policy and are hell bent on burning trillions of dollars, it aint going to matter, and then all of sudden [indiscernible] have these clown like cheque books where they are like, how big and how blunt of a cheque can I give you, the whole dialogue has shifted from anybody caring about debts or deficits to chastising the federal reserves for providing liquidity and frankly that's their job to provide liquidity I think in '09, in '08, '09 they did a miraculous thing by persisting it, right, they had given our government a blank cheque and they're killing us. And I think --.
Unidentified Analyst: [indiscernible]?
Corrado De Gasperis: The election process that you're --.
Unidentified Analyst: Hey, it's an election year.
Corrado De Gasperis: The election process that you're seeing I think is the tip of the iceberg, I think that the anger that people are having because they can't make ends meet, is the tip of the iceberg.
Unidentified Analyst: Conference call [ph].
Corrado De Gasperis: Let’s blame immigration, let’s blame the Muslim population, let’s build a wall. But let's not focus on the fact that we continue to burn $0.5 trillion to $1 trillion a year and growth is almost non-existent, right. So the anger that's bubbling up, people can't explain, because their currency is being devalued, right, and they don't understand why the same dollar doesn't take in this far in the test, right, this is the tip of the iceberg it's the beginning of I think a deeper financial crysis and I am not [indiscernible] and I am not even a Goldberg [ph], I am just a guy who understands math and looks at the balance sheet and says that they can fix it. They can't fix it without de-valuing the U.S. dollar, that’s the bottom line and if they de-value [indiscernible] deposit, I think they won't -- I think they’ll de-value the dollar of course before it falls. And then what does that mean for gold? It means a lot, and that’s why we have to protect this asset, anybody who is paying their half and gold price going to1,000 and 800 it is in a complete penalty work. They are in a fantasy world.
Operator: Our next question comes from the line of James Bill [ph], a private investor. Please go ahead.
Unidentified Analyst: Hey Corrado thanks you are doing great job as all my questions been answered.
Corrado De Gasperis: Thanks James, maybe I can see you next week or no?
Unidentified Analyst: No, unfortunately not, but I got to make it out there some time.
Corrado De Gasperis: Alright, well, let's keep in touch then.
Unidentified Analyst: Absolutely.
Operator: Our next question comes from the line of Carl Frankston [ph], a private investor. Please go ahead.
Unidentified Analyst: Just of kind of establish my bona fide I am probably the longest serving investor on a line of I have been involved since gold spring since 2003, always listening to the call, always been intrigued with what's going on, and I guess it's somewhat of rhetorical question everybody that’s on the line is concerned about making money, that’s what we are here for, it’s the price of the stock its investment and everybody wants to make money and I guess somewhat of as I mentioned the rhetorical question but its reality, the arcade gold stock on the bug to index is up 78%, gold up 15% old stock analyze which a lot of people follow, his stocks are up 64%, I follow at 20 stocks we are 20, its reality. How come our stock is not being -- everything sounds great why doesn’t the market appreciate this? And my guess is it's all because of delusion but I’ll be curious as to your answer.
Corrado De Gasperis: That’s why to get head on in, it's absolutely worst clarification. So first in formals I have to look in the mirror and say it's my credibility on the delusion question. We did not go into this process expecting we have to raise money so many times, right. And I am not going bring the gold price we started point at 1755 and it was below 1100 in fourth quarter. But that’s not it. we had some start of this use we have some mind plan issues and when you [indiscernible] gold with the declining price, it made it very, very hard for us to generate anytime is meaningful cash flow and so we have raise equity to support now it reminds you just for the sake of mining we didn’t. we have to prove ourselves environmentally, socially, operationally and so the fact that we did may de- reclamation including the road in and that recognize the fact that all of our perpetual expanded and we have just arrived because of performance the fact that are yield proved out and a grade proved out that’s both well for the future but it does in below for having head raise on money to get there, because it wasn’t expected the investment was worthwhile the investment will pay-off but it was not expected and that’s the big negative that’s a big negative on me, and the big negative on the company. I guess I wanted to cloud that we actually achieved the things that we were trying to achieve and then [indiscernible]. So that’s the first point. The second point is that we have a huge discuss. And we can take two views of it. One is a very small focus deposit is reserved or a big district with resources or a combination of both. And I think to the extent that we focused on a small production profile and going for reserved and really have been expanding those reserved yet, not that we want but yet. Causes is a doubt but the doubt it's not [indiscernible] contact because I am looking at project [indiscernible] on looking at project that have no linear the position of potential or even the resources that we have and we are value higher so that means we have an overhang and that overhang have to be shown by proving credibility. We are going to add a resources not a lot maybe one but there will benefit resources that had strong solid track records for developing mines. And you people want you can the company and that’s the potential is here and then once they join they will do better at developing mine than I did, and then I'll keep doing well to things that I am good at doing so that number one. Number two, the credibility on raising capital is an [indiscernible] and so that’s why I am trying to benefit as direct in influences as I can do we have capital resources? Of course we do. Are we going to use them? Only efficiently, right? Only efficiently. We are the end of a profit not at the beginning and as we started drill not just to Lucerne and Dayton which will be great but the accidental this brings value, these are two areas, where we have non hybrid discoveries. The northern target that are indicating all the big lowed discoveries, then people will such have a broader prospective and I think when you combined a good balance with a good creditable mining competency leading to development. With the potential of this district, we will meet and then exceed the valuations of other projects, we have to move the job, but we’re going to chop it’s now, it’s the way to look at it, that we’ve heard value and have a undervalued and that’s correct or we focused and indentified on the problem and we’re going to fix it and exceed and not sighting is also correct. So we look have to, look oppose, so they will look forward. I hope that been blocked, I hope I been straight on that.
Unidentified Analyst: You know it’s a direct answer, I’m certainly not negative, I’ve been haven’t been around as long so, be negative on? [indiscernible].
Corrado De Gasperis: No, I’m not negative here, dollar can be a problem which critical to ’16 yet.
Unidentified Analyst: It’s seems incredibally under value and hopefully the market will catch up with us and understand, what’s happing here and we’ll be happy. Okay thanks Corrado.
Corrado De Gasperis: It’s going to some however high water, even if they kills me.
Unidentified Analyst: I’m there, I’ll take a risk. I’m there.
Operator: We’ll now our next question from line of Harry Morca [ph], a Private Investor. Please go ahead.
Unidentified Analyst: Can I get accurate accounts on the number of shares outstanding, I keep looking at things that are in our 10-Q, that set in back in the December a 159 million shares that, I see the stuff that came out, in the beginning of March, that sale 165 million, now we can [indiscernible] share, that came out so, my calculations say, we should be in some around a 175 million or better but?
Corrado De Gasperis: On the cover of the key, you’ll see 178 million, which fully includes the not only the equity offering, but the overall allotment that the banks extra sized, so the 178 million is the right number, we committed 9 million of American, I’m sorry, 9 million share in American Mining & Tunneling for expression drilling and development, so that will put you at 187 and I’m swipe with it, like, a 195 million, it is probably the right number in the grander scheme, you know to be fining against.
Unidentified Analyst: So we really have a higher cap value then what’s showing up with yahoo finance and trust.
Corrado De Gasperis: Yes we do because the low stream don’t keep up, there is market much more efficient current and those are, in those [fields] of that.
Unidentified Analyst: Okay so with the 150 million tax loss carry forward, that shows me the start should, at least be at a minimum close to 0.80 or better.
Corrado De Gasperis: If you have a $50 million asset in that tax loss carry forward, that if those losses were expiring into the next five years, I’ve nervous and I’ve be telling to sell discount them. you know the fact that they don’t even begin to its expire, between 7 and 20 years, right because of that we’ve all the one way to capture that asset value, that correct.
Unidentified Analyst: So the board have a price in mind were, a takeover, we would be a takeover target.
Corrado De Gasperis: I haven’t had the based about that, in term of the board, the board actually looking at the land escape of new better project and can shift on these things achieved. But we haven’t engaged any kind of acquisition strategy for the obvious reason but, I’m hoping to more aggressive at home.
Unidentified Analyst: Are we target for a takeover by a one of the measures?
Corrado De Gasperis: I think with the rationalization that has really just finally getting that and I will credit, I’ve been credit of the measures, in terms of what happened between you know 2012, 2010 and 2013, I started to compliment in 2014 as they would getting their houses in order and really finished up in 2015. They are not focusing and looking forward and what they see is a huge GAAP between their production scheme, and they replacement scheme, meaning you producing 90 million amount of gold, globally and long adding about 50 million in reserves, that’s a huge, gap it’s never be digger but when you segment that down, when you look at the market, there as seen some good analyst out there, see at a good job, where they broke down the measures into two groups, one group were there reserves are stable and may be inclining slightly and another group was about the fall of a class. So I think we’re going to start to see M&A pick up remarkably rising in next 12 to 18 months now and I think, I’ve come any project in size and potential, will be target for full year consolidation or takeover, no question in my mind. Are we -- everybody right, we have a good control in shareholders last that I think really appreciates our intrinsic value. So no one can steal us that for share.
Unidentified Analyst: Question, this is a follow on. Do we have a potential of sanding gravel play?
Corrado De Gasperis: We do have, we have -- we do, you might be surprised we still do a lot of rip rap to the country over the last 12 months and we sold some good gravel fill to the BLM last year when they were doing some projects. So the answer is possibly yes, there is some and I wouldn't put it anyway near the top of any strategy but it could be in a little residual for sure.
Unidentified Analyst: Does the USA Parkway needs any?
Corrado De Gasperis: Yes, that's all happened right. The development that's happening in this area is remarkable so we're tightened very close to the county and the county economy. And now because of the state road realignment, we're actually very intimate with the state department of transportation in fact one of employee husband is the project management of the USA Parkway. Dora Rodrigaz [ph] his husband Pedro [ph] is the project manager for USA Parkway. So we're very close to the project, so can pay attention to any alternative revenue sources.
Unidentified Analyst: How much tonnage do we have on U.S. 50?
Corrado De Gasperis: So not a lot, we will get a lot and not a lot, you said U.S. 50?
Unidentified Analyst: U.S. 50
Corrado De Gasperis: Yes, 50 we have a lot I mean probably like 200 to 300 acres in two separate parcels and then we have another I don't want to call it an option, but we have -- we're in discussions with them with some who leased some properties to us about some additional properties on 50. So that’s the corridor that's going to rock the hardest in next 12 months.
Unidentified Analyst: Are those any of the parcels that you're talking about selling?
Corrado De Gasperis: Yes, those are most liquidity and the most marketable.
Unidentified Analyst: Well, I think you're doing a terrific job even with the frustration along the way, so keep up the good work.
Corrado De Gasperis: I appreciate all your frankness and I'll tell you the input that you and others have given have helped focus us, right. I don't think we were clueless, but I think we needed to sharpen the focus and we're getting that.
Operator: Thank you. Ladies and gentlemen, the time allotted for questions and answers has come to a close. I would now like to turn the call back over to Mr. De Gasperis for closing remarks. Thank you.
Corrado De Gasperis: Thanks Nick. I just want to say thank you for everyone in putting on support and I am very much looking forward the next week in terms of the annual meeting. We have two Board meetings one before one after, we have the Annual Meeting in between, we'll be putting out some positive bits of information strategy and our business plan and take it from there. Thank you all
Operator: Thank you. This concludes today's conference call. Thank you for your participation. You may now disconnect.